Operator: Good day, and welcome to the Digital Turbine Fiscal 2022 First Quarter Results Call. [Operator Instructions] Please note, this event is being recorded. I would like now to turn the conference over to Brian Bartholomew. Please go ahead.
Brian Bartholomew: Thanks, Jason. Good afternoon, and welcome to the Digital Turbine Fiscal 2022 First Quarter Earnings Conference Call. Joining me on today's call to discuss our results are CEO, Bill Stone; and CFO, Barrett Garrison. Before we get started, I would like to take the opportunity to remind you that our remarks today will include forward-looking statements. These forward-looking statements are based on our current assumptions, expectations and beliefs, including projected operating metrics, future products and services, anticipated market demand and other forward-looking topics. Although we believe that our assumptions are reasonable, they are not guarantees of future performance and some will inevitably prove to be incorrect. Except as required by law, we undertake no obligation to update any forward-looking statements. For a discussion of the risk factors that could cause our actual results to differ materially from those contemplated by our forward-looking statements, please refer to the documents we file with the Securities and Exchange Commission. Also, during this call, we will discuss certain non-GAAP measures of our performance. Non-GAAP measures are not substitutes for GAAP measures. Please refer to today's press release for important information about the limitations of using non-GAAP measures as well as reconciliations of these non-GAAP financial results to the most comparable GAAP measures. Now I am happy to turn the call over to CEO, Mr. Bill Stone.
Bill Stone: Thanks Brian. And thank you all for joining our call tonight. First, I want to formally welcome, appreciate AdColony and Fyber to our team. This is our first earnings call announcing results as one Digital Turbine. I've been impressed with the ability of all of our team, whether it from AdColony, Fyber, Appreciate or Digital Turbine to focus on the execution on the day-to-day what you're seeing in our results, but also simultaneously focusing on building out one company, which is well underway. I've been pleased with how the teams from each company are beginning to gel together. Very few companies have the ability to walk and chew gum, but our team continues to show an amazing set of skills, whether it's on acquisitions, integrations, COVID, new business opportunities or whatever comes at us to maintain focus and hustle on what's right in front of us, but also simultaneously anticipate what's around the corner. I'm going to break my remarks out into four areas. First is some commentary on our consolidated results for the quarter. Second is a breakout of each of our segments. Third will be some real-time operational updates. And finally, we'll close on our strategic integration progress of one Digital Turbine. Want to remind investors, that our results announced today are for a partial quarter of results for both AdColony and Fyber. Our results include a full quarter of Appreciate, two months of AdColony and one month of Fyber. At a macro level, our consolidated actual results were $213 million in revenue, $40 million of adjusted EBITDA and $0.34 of non-GAAP earnings per share. Our top line and EBITDA growth were over 100% and 200% respectively on a pro forma basis, and our earnings per share growth was over 150%. This showcases the operating leverage of the model, the strength of the businesses independently, and doesn't include much in terms of synergies that we believe will fuel future top and bottom line growth for the company. We also believe it demonstrates how well we are now positioned with real scale to attack the $300 billion plus mobile media market. More specifically, we will begin reporting our business across three segments. The first is our On-Device Media business, which includes our App Media, Content Media and SingleTap businesses. The segment – second segment is our AdColony business and the third segment is our Fyber business. Given that Digital Turbine, AdColony and Fyber have all been public companies, we believe reporting these segments in the short term will provide investors the best comparison and transparency of results. Also to make comparisons easier for investors, I'm going to refer to the AdColony and Fyber results as if we had owned them for the full quarter. We believe this will be an easier apples-to-apples measurement versus the stub-quarters that may be a bit more confusing. First I'll summarize our On-Device Media segment. Our On-Device Media business set all time revenue records in the June quarter and generated over $120 million in revenue, which is 93% organic growth year-over-year, driving the strong organic growth with strong performance across the board in our Content Media, App Media and SingleTap business. Our App Media business grew an impressive 81%. In particular, we saw hyper-growth of nearly 600% year-over-year with our SingleTap business. SingleTap was almost 20% of our total On-Device Media revenues in the June quarter, compared to 4% a year ago. Adding SingleTap now fully integrated with our Appreciate acquisition is a major driver of these accelerating growth results. We expect to see continued momentum in SingleTap, as I'm pleased to announce that Samsung has decided to begin launching SingleTap across their global footprint which historically has been approximately 250 million devices per year. Our results in Latin America have been strong and Samsung now wants to expand to other geographies and we've already started the process of expanding into Europe. Our international growth in App Media continued as we saw approximately 50% of App Media demand now being outside of the United States, despite U.S. demand growing more than 30% year-over-year. This is fueled by companies such as King, Playtika, Alibaba, Tencent and many others. We expect it to continue to grow as evidenced by our recent announcement that we are expanding our TikTok relationship. TikTok has been a strategic partner for us in Latin America and we are now expanding that to North America, which will drive short-term growth for us. But more strategically, we look to collaborate with TikTok on many of our strategic products from App Media, Content Media, Fyber and AdColony in the future. Our Content Media business grew by nearly 150% year-over-year. We think this growth rate is obviously impressive and now includes a full year of results of owning Mobile Posse. We continue to be on track to launch additional Content Media products on AT&T and Verizon later this fiscal year, which we expect to be a future catalyst for growth. And as we begin integrating Fyber and AdColony, we think it's important to remind investors how well the DT team and Mobile Posse teams have integrated into one company as demonstrated by the strong operating performance of our Content Media business. Turning to our AdColony segment, AdColony has an impressive 46% year-over-year growth comparing this June quarter to last June quarter. In particular, the AdColony brand business, which is highly strategic for one Digital Turbine efforts showcased over 70% year-over-year growth and now accounts for over 80% of AdColony’s revenues. We were pleased to see AdColony recently recognized by Adweek as having a top Ad Network for brands and continue to see very strong momentum in the global brand business. As it was widely anticipated, we began to see some impact of Apple's IDFA changes late in the June quarter, as AdColony’s less strategic performance business, which is less than 20% of total revenues declined year-over-year. We're now starting to see budgets return in the current quarter from many performance advertisers that we're taking a wait and see approach earlier in June. Turning to Fyber, Fyber’s full quarterly results were impressive, showcasing nearly 200% year-over-year growth. Fyber achieved nearly 90% of last year's revenues and triple the adjusted EBITDA in the first six months of 2021 compared to the full-year of 2020. In other words, they're not only accelerating growth on the top line, but are now at that critical inflection point of scale that enables accelerating, operating leverage in their core business. This impressive growth was driven by both rates and volumes. On rate Fyber saw eCPMs more than double from a year ago and volume of ads delivered more than 60% growth. More specifically fueling this strong growth was nearly 450% growth in marketplace video, both AdColony and Fyber made strategic investments in video rendering of mobile ads over the past few years and are now capitalizing on the macro global tailwind of video ad formats as advertisers prefer the stickier, richer and more price in-elastic ad format compared to other traditional digital formats. These three segments now in place, our diversification of revenues and partners has also changed dramatically. For example, our top U.S. carrier partners have grown over 40% in the past year, but as a percentage of our total reported revenues, they are just over 25% of our total pro forma revenues compared to nearly 80% a year ago. We now have no single customer or partner that is more than 10% of our pro forma revenues. In particular, we're seeing both AdColony and Fyber show nice 71% growth combined in the U.S., but outside of the U.S. it has grown by over 160%. This is important to remind investors that while Apple and Android are approximately 50-50 market share here in the U.S., Android is approximately 85% of the global market. Thus our on-device advantages with technologies like SingleTap, combined with the impressive more than 1 billion device global footprint between AdColony and Fyber should be a nice driver for future global growth, given the strong international infrastructure of people, partners, customers, and technology that all the businesses have. Now turning to the forward outlook, I want to provide some commentary on how we're positioned for continued growth. With our acquisitions, our growth levers of devices, products, and media have not changed. They've just been accelerated. First on devices, after many quarters of flattish to declining device sales in the U.S., I'm pleased to announce that we grew devices nearly 10% in the U.S. and more than 60% internationally compared to last June quarter. We're also seeing over 40% of new devices sold with our largest U.S. carrier partners being 5G, which is a material increase compared to prior quarters. This is important as it drives richer video advertising formats. We’re now past over 700 million devices that our software has been installed. On the product front, our revenues from Dynamic Installs grew by almost 50% year-over-year in the June quarter, but now represent less than 30% of our total pro forma revenues compared to over 60% last year, as the company has been repositioned to monetizing over the life of the device versus just monetizing at first activation. Our revenues that occur over the life of the device now represent over 70% of our total revenues compared to just 38% last year. Diversifying away from revenues only attributable to first boot and monetizing over the life of the advice is a strategic priority for our business and this progress today is material. I mentioned SingleTap is a major growth driver earlier in my remarks, but we're also looking to offer many other products that are generating growth, such as Notifications, Discover Bar, FairBid, Offer Wall and Marketplace. In other words, diversification is working well to drive both top-line growth and no reliance on any single product to drive growth. I'm also pleased to see the cross-selling of new products into our existing operator and OEM partners. This is and will continue to be a driver for our improved revenue per device or RPD metrics. On the media front, our new acquisitions extend our global reach. The AdColony global brand relationships with companies like McDonald's and Starbucks, BMW, Ford, Unilever and so on, pair up perfectly to match that brand demand with the increased supply of Fyber’s, publisher-relationships and the Digital Turbine on-device relationships. We're also seeing our increase in our ability to go to our media partners with a more holistic solution, which is being seen as a big positive. This scale brings us better rates which on a revenue per slot or on an eCPM basis. I now want to turn to our recent acquisitions and our strategic game plan. With the completion of the acquisitions, we have now successfully assembled the key pieces for our full-stack end-to-end ad tech platform. I want to spend a minute here to highlight for investors, what truly differentiates our end-to-end platform versus other industry players. I should start with our overriding mission statement, which is to become the largest independent mobile advertising and monetization platform, leveraging our unique on-device technology and long-term partner in advertising relationships. A couple of years – a couple of words here I want to stress, because they represent what differentiates us. First is having our technology on-device, this software presence on underlined devices provides us distinct advantages, a critical one of which is our ability to use our patented SingleTap technology to drive materially higher conversion rates on the platform. Second is our independence. We've opted to vertically integrate by functionality unlike many other industry players who have drifted into the content arena, thereby compromising their platform neutrality and posing potential conflicts of interest for other app publishers and advertisers on the platform. In essence, our on-device technology presence and independent approach make our platform more attractive to app publishers and advertisers trying to optimize monetization and return on investment. It's still early days, but we've already received positive feedback from numerous partners and customers validating this unique approach, and we're already benefiting from revenue synergies within specific accounts. In closing, I want to emphasize to investors how well the four businesses of Digital Turbine, Appreciate AdColony and Fyber, are operating organically and independently, but they are also already working synergistically and we're already seeing encouraging results. We're ecstatic about the people, the products and the companies we've acquired and how they fit together to achieve our mission. Our excitement and optimism about the future of Digital Turbine is at a 52 week high. With that, this concludes my prepared remarks, and I'll turn it over to Barrett to take you through the numbers.
Barrett Garrison: Thanks Bill and good afternoon, everyone. Before I cover our financial results, I'll start by echoing Bill’s sentiment. We're excited to be announced in our first quarter with the results of the newly joined acquisitions and want to welcome the Fyber and AdColony teams to our one digital turbine team. Across the teams, the cultures and values are incredibly well aligned and I continue to be excited about the tremendous opportunity ahead of Digital Turbine, especially during this transformational phase of the company. Now turning to our results, we're pleased with the strong first quarter performance, which exceeded our expectations for both our existing business and the performance on the new acquisitions. As a reminder, we completed the acquisitions of AdColony and Fyber on April 29 and May 25, 2021 respectively, and our actual reported results reflect partial contributions of those businesses, beginning on the dates the acquisitions closed. I will occasionally reference results on a pro forma basis, which reference quarterly results and comparisons as if all acquired businesses were owned for the entirety of the first quarters of fiscal 2021 and fiscal 2022. We believe these pro forma results provide additional insight into the underlying trends when comparing current performance against prior periods. My comments today will refer to comparisons on a year-over-year basis, unless otherwise noted. Revenue of 212.6 million in the quarter was up 260% as reported and 104% on a pro forma basis. Adjusted EBITDA increased to 39.8 million growing 183% year-over-year. As a result of the successful acquisitions, starting this quarter we are reporting our revenues in three segments, On-Device Media, In-App Media AdColony and the In-App Media Fyber. On-Device Media revenue, which represents existing revenue derived from the company's application media inclusive of SingleTap, DSP and Content-Media, and platform products increased 93% year-over-year to $120.3 million. Total In-App Media AdColony revenue contributed 44.9 million during the quarter and was up 46% on a pro forma basis. Our In-App Fyber business contributed 49.6 million during the quarter and was up over 190% on a pro forma basis. On a pro forma basis as if both Fyber and AdColony were owned for the full quarter, total consolidated pro forma revenue for the fiscal quarter 2022 would have been 292 million representing 104% increase. Non-GAAP gross profit was up 172% to 72.4 million, which was up 87% on a pro forma basis. Gross margin on the platform is 34% in Q1. The newly acquired businesses will have further margin impact in Q2 since Q1 contained a partial stub period. And I would highlight, while our gross margins in the quarter are impacted by the business mix of new acquisitions, we continue to experience expanding sequential margin improvement in our On-Device business. We experienced continued impressive expense scale on the platform, as cash expenses were 32.6 million in Q1 or 15% of revenue that was down from 21% of revenues in the prior year and increased only 21% year-over-year on a pro forma basis, while our revenues were up over a 100% in the period. Total operating expenses were 52.6 million including approximately 8.3 million in transaction related costs and compared to total operating expenses of 15.5 million in the prior year for the acquisitions. I will note that while the key rationale of our new acquisitions is based on driving new revenue growth and platform capabilities and not a reduction, a cost reduction play. We do expect to realize favorable expense synergies over time that will further compliment the operating leverage and scale on the platform. While we are still early in the process, the integration efforts are off to a strong start and we anticipate certain costs benefits to be realized over the coming quarters as the integration efforts are successfully implemented to further improve our operating leverage. As a reminder, our operating leverage is being achieved even as we continue to make a number of focused near-term investments, primarily with our salesforce and technology teams to support new partners and products to drive future incremental revenues onto the platform. I also continue to be pleased with the profitability and free cash flow delivered by our business. In the quarter we achieved non-GAAP adjusted net income of 33.4 million or $0.34 per share as compared to a 12.5 million or $0.13 per share in the same quarter last year. Adjusted EBITDA was 39.8 million in the quarter, up 183% over prior year. And our non-GAAP free cash flow totaled 14.3 million, enabling us to exit Q1 with a cash balance of $83.1 million. Our GAAP net income was 14.3 million or $0.14 per share, based on 98.8 million diluted shares outstanding compared to our first quarter 2020 net income of 9.9 million or $0.11 per share. I would also highlight with respect to the recent acquisitions each of these new businesses are high revenue growth companies and profitable on a standalone basis and are accretive to both our earnings and free cash flow, further improving the profile of the Digital Turbine enterprise. Turning to the balance sheet, during the quarter we successfully closed on these two acquisitions and the upfront cash at closing was approximately $250 million, which was primarily funded with our existing debt facility. We exited with 257.5 million of debt, consisting of 237.1 million drawn against our $475 million revolving credit facility, inclusive of a $75 million accordion feature, plus 20.4 million in debt assumed through the Fyber acquisition. Our net debt position at the end of the quarter was 174.4 million. With our recently expanded credit facility, the healthy balance sheet and strong free cash flow is combined with a transformative new acquisitions out of the platform, we're excited and poised to execute on our growth plans for fiscal 2022 and beyond. Now, let me turn to our outlook. The momentum underway has positioned us for a strong fiscal 2022. In that context, we currently expect revenue for Q2 to grow to between 300 million and 360 million and expect adjusted EBITDA to grow to between 44 million and 46 million, and adjusted net income per diluted share to be $0.38 based on approximately 105 million diluted shares outstanding. With that let me hand it back to the operator to open the call for questions. Operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Darren Aftahi from ROTH Capital Partners. Please go ahead.
Darren Aftahi: Hey guys, thanks for taking my questions and a nice job on the quarter. So two things, first Bill, on your comments about the Samsung, I'm just kind of curious, like how big the opportunity is there. And then as maybe a derivative, you've been working with Samsung for a while now. I'm just curious if there's any other kind of large OEM, either handset or maybe even larger screen sizes where you feel there's a kind of a near-term opportunity where we might see another name, that will be beyond Samsung?
Bill Stone: Yeah. Sure, Darren. Yeah, so specifically on Samsung, I think it's important to highlight to investors we have all these new products, we've got our on-device products, whether it's our new Dynamic Installs, App Wizard that people are familiar with, but now we're talking about things like SingleTap or content media products, things that we now have as part of our acquisitions from Fyber and AdColony. So as we think about, taking our Samsung relationship broader, which we're talking about today with more devices, but also deeper as it relates to a lot of these new products. So we're pretty excited about that and encourage investors to think a little bit more broadly about the opportunity there than just kind of historical our first boot products and that's definitely how we want to think about it throughout the entire life of the device with Samsung. In terms of other operating OEM relationships, yeah a lot of good things happen in here. We didn't – because we have so many things to talk about on today's call, we didn't get into any specifics like we did back in the old days of specific accounts, but yeah there's a lot of good things happening here and the results are starting to see, a lot of our other partners around the world beginning to grow and scale, that includes people like Xiaomi, Telefonica, just to kind of name a few. The pipeline continues to remain encouraging for us as we expand globally. And it's just a classic scale begets scale. So we feel pretty good about the strategy and the ability to add additional partners, additional screens and so on
Darren Aftahi: This one more if I may. So with AdColony, I mean, anybody in their stable or your core stable on the brand side where you've already seen kind of cross-pollination in terms of opportunity or is it still too early there?
Bill Stone: Yeah, so we're seeing great opportunities both on the Fyber and on the AdColony side. AdColony, a couple of specific examples that I highlight would be McDonald's and Starbucks, were ones that are already today, where there's cross-selling, up-selling and we're able to pull through McDonald's, brand dollars on AdColony into some of our On-Device Media products. So those would be a couple of examples, the pipeline is pretty rich and encouraging right now. And then on the supply side with Fyber, you're already working with a number of various publishers around there. So you can think of names like Zynga and Scopely, and Tripledot and names like that, we're already seeing nice synergies from, in terms of collaborating together.
Darren Aftahi: Great. Thank you.
Operator: The next question comes from Austin Moldow from Canaccord. Please go ahead.
Austin Moldow: Hi, thanks for taking my questions and also thanks for all of the transparency, can you talk a little about how meaningful your Verizon and AT&T content deployments might be later this year, in terms of how wide-ranging those deployments will be? And can you also maybe talk about some of the other cross-selling you've realized thus far between the two entities?
Bill Stone: Yeah. Sure, Austin. As we think about our – we think about the opportunity, today we have just north of around 10 million daily active users primarily on T-Mobile today. So I think in terms of we think about the opportunity set, that 10 million users generating, let's call it roughly a $100 million of revenue, that seems like an opportunity set, given that they've got one-third of the market, Verizon has one-third, AT&T has one-third in rough terms, that seems like the market opportunity that we should be thinking about. In terms of the specifics of rolling out, we're working those real-time right now, I don't think Verizon or AT&T want me making forward looking statements on their behalf today about their rollout plans. But just if I say, I think we're in good shape with both partners right now and they're excited to get going on these incremental opportunities.
Austin Moldow: Got it. And last question, what does the guidance assume for the Fyber performance?
Barrett Garrison: Yeah, we are not breaking out the segment specific guidance, but we see a lot of headroom on the horizon for each of our businesses. We did break out their growth in our prepared remarks, as well as in the 10-Q. But in – those are organic – obviously organic growth rates and so the synergies that Bill touched on will be things on the horizon that will come at different paces. But we've been very pleased with each individual performance on each of our segments and have high aspirations for their growth rates.
Austin Moldow: Okay. Thanks very much.
Operator: [Operator Instructions] The next question comes from Allen Klee from Maxim Group. Please go ahead.
Allen Klee: Hi two financial questions, one your tax rate was around 19% for this quarter. Is it reasonable to assume that going forward you'll be a taxpayer and is that a reasonable rate? And then how do you define – you mentioned the term non-GAAP free cash flow, how are you defining that? Thank you.
Barrett Garrison: Yeah. Good tax question. So obviously with the acquisitions where we've got operations in different regions now, so it makes it a little more complex. We still do have NOLs in certain regions, so we will be taken advantage of shielding some of our taxes in some of those regions. But we are generating net income and operating income, so we will have tax obligations in certain regions. So I couldn't give you – Allen, I couldn't give you specifically the effective tax rate. We're going to be on an enterprise level, some obviously will be shielded within NOLs and other as well, but we will be a net taxpayer overall, fortunately given the profitability in the business. And then with respect to the way we determine our operating non-GAAP cash flow, we have a table included in the press release when you get a chance you'll be able to build a CV, the walk there. But we're basically demonstrating the free cash flow after operating free cash flow, less CapEx and less any non-recurring activities, so trying to get to our true inherent business cash flow results.
Allen Klee: Thank you.
Operator: The next question comes from Dennis LaValle from Lantern. Please go ahead.
Dennis LaValle: First of all, Bill I want to thank you for assembling a team that made this all possible. And on today's call, you didn't mention anything about the TV market space. Number one, how big is that? And who are the competitors and when will we be able to see some results in that arena?
Bill Stone: Yeah, thanks Dennis. Yeah, we already have some results, in terms of some revenue from one of our carrier partners that has paid us for some licensing on televisions. And we're excited about the opportunity. We're excited about the space that's for sure. And we think the opportunities is compelling that's why we're in it, but I would highlight to investors that while we're excited about the opportunity, today we just talked about adding 60 million devices to the footprint, plus 1 billion devices at AdColony and Fyber on. I think if you look at, company like Roku for example, I think don't they have less than total users, and we just announced a quarter on televisions. So the opportunity while there it's impressive, the linear television market is roughly a $100 billion market, relatively flat, the mobile media market is $300 billion. So we view the TV market as a nice adjacency for us, but in terms of just total size and scope, we see the mobile market as vastly larger. And given that $300 billion plus mobile media market, we're less than 1% of that. We're seeing an enormous opportunity to grow that and generate results. So I think the key for us is with our operator and OEM partners is showing the breadth of services that we can offer both on whether it's on smartphones or tablets and televisions, and really integrating those things together. That's something that we're excited about. But in terms of the overall opportunity, I think it's important to have, kind of a relative size between mobile versus television.
Dennis LaValle: As always you're on top of it. Thank you.
Operator: The next question comes from Anthony Stoss from Craig-Hallum. Please go ahead.
Anthony Stoss: Hi guys. Nice job. Bill you talked about 70% of your revenues right now are for the life of the device, you mentioned Notifications and a bunch of other software ads that are forthcoming, when you look out how much potential revenue per device do you see over the next couple of years versus where you're at today?
Bill Stone: Yeah, one of the things on that Tony is, we continue to say there's a lot of opportunity for revenue per device, we've been asked this for many years and it continues to go up into the right, I think we've seen both in our international business and our domestic business, as we've seen revenue per device in the June quarter go up 60% year-over-year which we're pretty excited about, it's north of $4 here in the United States. So now with all these new products, we see continued accretion there and we see the accretion coming from the both, the additional products, which adds revenues, so think of Notifications, SingleTap, et cetera, but also now obviously new media relationships too, right? So the combination of the media relationships and the new products and all these cross-selling and up-selling give, gives us a lot of optimism of being able to have increased RPDs, especially as the percentage of our revenues that are monetized over the life of the device increased. And so for example, in our App Media and Content Media businesses, our legacy Dynamic Install business was up like 50% year-over-year, which is great, but all the other products combined were up over 175%. So that kind of growth is really what's driving the improved revenue per device metrics. We think that's something that investors should be excited about.
Anthony Stoss: Then a clarification on Samsung, is it just SingleTap that the new agreement is covering and then how quickly is it going to begin?
Bill Stone: So what we announced today was for SingleTap. And as I just mentioned it to Darren earlier Tony is, I'd encourage investors to think about the relationship with Samsung more broadly than just the app should get out of the box, which is I think how most investors have seen that relationship historically. We'd like to think about it now, but all these products and things that we've acquired and assembled over the past few years. So today we are live with Samsung in Latin America on SingleTap. We just recently expanded that into Europe and we look forward to continue to expand that to other geographies. And we're working through those details with Samsung real time.
Anthony Stoss: Thanks Bill. Appreciate it. Good luck guys.
Bill Stone: Thanks Tony.
Operator: There are no more questions in the queue. This concludes our question-and-answer session. I would like to turn the conference back over to Bill Stone for any closing remarks.
Bill Stone: Yeah. Thanks everyone for joining the call today. We'll look forward to reporting on our progress against all the points we made on today's call. And we'll talk to you again on our fiscal 2022 second quarter call in a few months. Thanks and have a great night.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.